Operator: Good day and welcome to the BJ's Restaurants, Incorporated First Quarter 2017 Earnings Release and Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Greg Trojan, President and Chief Executive Officer. Please go ahead, sir.
Gregory Trojan: Thank you, operator. Good afternoon, everyone, and welcome to BJ's Restaurants fiscal 2017 first quarter investor conference call and webcast. I'm Greg Trojan, BJ's Chief Executive Officer and joining me on the call today is Greg Levin, our Chief Financial Officer. We also have Greg Lynds, our Chief Development Officer; and Kevin Mayer, our Chief Marketing Officer on hand for Q&A. After the market closed today, we released our financial results for the first quarter of fiscal 2017, which ended Tuesday, April 4th on 2017. You can view the full text of our earnings release on our website at www.bjsrestaurants.com. Our agenda today will start with Rana Schirmer, our Director of SEC Reporting, providing our standard cautionary disclosure with respect to forward-looking statements. I will then provide an update on our business and current initiatives, and then Greg Levin will provide a recap of the quarter and some commentary regarding the remainder of fiscal 2017. And after that, we'll open it up to questions. Rana, please go ahead.
Rana Schirmer: Thanks Greg. Our comments on the conference call today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by forward-looking statements. Investors are cautioned that forward-looking statements are not guarantees of future performance and that undue reliance should not be placed on such statements. Our forward-looking statements speak only as of today's date, April 27th, 2017. We undertake no obligation to publicly update or revise any forward-looking statements or to make any other forward-looking statements, whether as a result of new information, future events or otherwise, unless required to do so by the securities laws. Investors are referred to the full discussion of risks and uncertainties associated with forward-looking statements contained in the company's filings with the Securities and Exchange Commission.
Gregory Trojan: Thanks Rana. As we discussed in our earnings call in late February, 2017 began tremendously from a sales perspective from the industry and BJ's driven by the New Year's calendar shift and the added impact of severe weather particularly the torrential rain we experienced in California, our most densely developed market. Notwithstanding those challenges, traffic trends have begun to improve, and coupled with solid momentum from our sales building initiatives, we believe we have an opportunity to drive positive comparable restaurant sales in the near future. As such, our teams remain highly focused on what we call our needle-moving sales building initiatives and delivering unparalleled guest dining experience. I'm pleased to report that once again we've extended our trend of outpacing the industry comparable sales as measured by black [Indiscernible] even despite our weather challenges in California. I attribute this operators continue to take care of our guests in the face of the challenging same restaurant sales environment. Overall, our teams focused on driving even more efficiency throughout our supply chain and our restaurant expenses were helpful in partially offsetting the topline challenges during the quarter, resulting in restaurant level margins 17.9%. Our operators were also able to generate these solid restaurant margin while commencing the unprecedented number of sales building initiatives that are being implemented in our restaurant. I and the entire leadership of BJ's truly appreciate and thankful for all the hard work our operating teams are doing to make BJ's best casual dining company ever. Our target has always been to drive restaurant level margins of 20%, including marketing which as you know many of restaurant companies include in SG&A. We all know the best path to restoring margin to our 20% level is to drive topline sales and regain positive comp momentum in our restaurant. We have a robust plan to do that and we're starting to see some early positive results from this effort. When we reported our Q4 2016 results in late February, we noted that comparable sales were negative approximately 2.5% and we finished the quarter at negative 1.3%. The improving trends are continuing in April where our comparable restaurant sales is slightly positive, adjusting for the Eastern calendar shift, which Greg Levin will discuss in more detail. And more importantly, we're seeing good early traction from the sales building initiatives I detailed on our Q conference call in February just a few weeks ago. To briefly recap these initiatives, we successfully tested new slow-roasting ovens in a select few restaurants last year with our goal to roll all of these ovens to all of our restaurants by May of this year. Second, we are rolling out new server handheld ordering tablet in all of our restaurants which in drove improvement time to order, greater incident rates, and improvements in overall guest satisfaction rating. Third, we have begun to pursue the off-premise sales growth opportunity and our currently testing temporary delivery service that leverage our existing, highly rated mobile app and online ordering system as well as exploring other off-premise takeout opportunities. Fourth, we began rolling out our Daily Brewhouse Specials that showcases several of our most popular signature menu item, including our signature deep dish pizza, our world-renowned Pizookie dessert, and BJ's award-winning handcrafted beer, all at attractive prices. In addition to these four strategic initiatives, we also developed a deep pipeline of new menu items, including several new items focusing on our successful EnLIGHTened menu category, featuring our new super food options, our loyalty program enhancements and other productivity initiatives to be implemented in 2017. It's worth noting that our EnLIGHTened category continues to grow popularity and in Q1 was the highest level of incident level of EnLIGHTened items sold in our history. With regard to our slow cooking ovens, we were able to complete the installation of these ovens in all of our restaurants by mid-April ahead of our original schedule. As a result, all of our restaurants have now been trained on the new slow-cook menu items and have recently introduced them to our guest using in-restaurant menu announcer and what I call a soft roll out since we have not seen any significant marketing dollars behind this initiative as of yet. These items include our prime ribs and our slow roasted ribs, double bone in pork chop, a prime rib pulled pork and turkey dip sandwiches. Our prime rib dinner offering is available during the dinner parts on Friday and Saturday and all-day Sunday. This item which we think is a screaming value at $26.95 has been one of our top three best-selling entrées in its early roll out, and again, this is, without the support of external marketing, which is scheduled to launch in early May during our busy Mother's Day, Graduation, and Father's Day celebrations season. Selectively, these items have been averaging incident rate exceeding our total pizza sales, which as many of you know remain a foundation element of our menu dating back to our early days. These new slow-cook menu items are consistent with our long-held menu strategy to offer a wide variety of compelling items which features exceptional quality and uniqueness at an outstanding value. Moreover, they are actually simpler to execute than many of our multi-ingredient, multi-step preparation items on our menu and very consistent with our project of continuing to simplify our kitchen process and procedures. These items are just the start of the opportunity to leverage this new cooking platform and create other new and unique menu items for our guests that continue to differentiate BJ's from other casual dining concepts. Additionally, over time, these items present us with a great opportunity to build guest check and traffic as we believe in our early best feedback and sales suggest, their quality and value will build repeat visit as they are truly unique in our state. We have also made solid progress efforts to install handheld ordering tablets in all of our restaurants. We've been testing iterations of this technology for several years and are excited to see our current combination of technology and service process producing significant reduction in a time it takes our service to place initial orders for guests seated in our dining area. We have completed installations in about a third of our restaurants and will be fully converted by midsummer of this year. These installations are not only speeding up our service time, but they're also resulting in nice growth in sales incidence of beverages and other add-on item, all of which is culminating in higher-quality guest experiences, which are being reflected in material improvements in our already impressive MTS guest metric. Our focus on growing our delivery and takeout sales continue to maintain progress as we continue testing third-party delivery options while reworking our entire take-out packaging and large party menu options for our guests. We believe it is important at this time and before a broad launch to concentrate on sharpening our technological link to our online ordering and add functionality along with our in-restaurant execution of these orders. While we have work to do, we're pleased with the overall guest reaction and execution well in our restaurant. We'll be expanding our tasks in several weeks to include several new partners to include both private labeled delivery solutions for orders sourced from our ecosystem, along with options to drive incremental demand from several third-party ordering and fulfillment site. While we recognize that a number of concepts have jumped all-in with partnerships in the third party delivery segment, we believe the national footprint solutions today and carefully crafting an in-house and third-party order origination platform will in the long run, maximize both sales and profitability from this significant segment and growth opportunity. We're also pleased with our expansion of our Daily Brewhouse Specials. Our guests love the opportunity get some of BJ's most iconic menu items at the daily special price. We have seen our pizza incidence go up on our Monday pizza night special and our Pizookie incident rates just keep increasing with our $3 Pizookie Tuesday. In addition to those two Daily Brewhouse Specials, we also have our $10 Loaded Burgers on Wednesday and our unbelievable Baby Back ribs specials on Thursday. Each of these menu items have also supported with a daily alcohol special, including specials on our signature and award-winning BJ's beer. Overall, we continue to strive improve the compelling variety and value offering of our concept, which we believe will drive both traffic and check growth over time. While we continue to push hard on leveraging and improving the breadth of our menu offering, the level and consistency of our service and exploiting the opportunities in the off-premise channel to grow our comparable restaurant sales, we also continue to grow our brand presence through successful restaurant expansion plan. This year, we've already opened five new locations in Mobile, Alabama; Noblesville and Fort Wayne, Indiana; Columbia, Maryland; and Youngstown, Ohio. Positive customer response and sales volumes in these new markets continue to trend of really solid openings of our smaller prototype footprint. We're on-track to meet or exceed restaurant opening leagues with 10 new openings and we're well underway in laying the groundwork for our 2,000 openings as well. While 10 openings are keeping our operations and opening teams busy, the seven fewer openings compared to last year is allowing our team to concentrate on the important sales building initiatives I just described, which we are in the midst of launching and rolling out. Overall, I'm confident we're doing the right thing for the short and long-term health of our concept as we battle through the tough topline retail restaurant environment. It's way too early to declare any victory, but we're seeing encouraging signs and we continue to leverage our great team as well as our strong balance sheet to invest wisely in our business as well as opportunistically buying back our equity when we see the chance to drive shareholder value. Q1 was a very solid quarter for BJ's despite the headwinds. We made significant progress on our sales building initiatives which are setting the foundation for many years of successful growth for BJ's. Greg Levin will now walk you through some of the additional financial details for the period as well as some commentary regarding the remainder of the fiscal year. Greg?
Gregory Levin: All right. Thanks, Greg. As we noted in today's press release, we saw marked improvement in comparable restaurant sales towards the latter part of the first quarter and total revenue increased approximately 6% year-over-year to $257.8 million. Our 6% increase in total revenues reflects an approximate 9.5% increase in total operating weeks, partially offset by a decrease in our weekly sales average of about 3%. Our comparable restaurant sales decreased 1.3% for the quarter compared to a positive 0.6% in last year's first quarter. And as mentioned in our Q4 conference call, the large difference in our weekly sales average and our comparable restaurant sales is partially due to the calendar shift as our 2017 first quarter began the first week of January compared to the last week of December in fiscal 2016. The steady effect of BJ's first quarter comping against one of the highest weekly sales average, which ended up being in the last week of fiscal 2016. During our Q4 2016 call in late February, our Q1 comparable restaurant sales were trending down approximately 2.5%, but with the strengthened March and the sustention rains on the West Coast, comparable sales finished down 1.3% for the entire quarter. The upturning comparable restaurant sales in March results in revenues, operating margins and earnings exceeding our expectations and led to net income and diluted net income per share for the quarter of $9.3 million and $0.42, respectively. Cost of sales for the quarter was 25.4% or about 50 basis points higher than the year ago quarter, but pretty consistent with Q4's cost of sales of 25.3% and in line with our expectation. The increase from the prior year was primarily due to an increase in commodity cost, the menu mix, and higher discounting from year ago. Labor of 35.8% for the first quarter represented 100 basis point increase from the year ago period. Looking at our labor expense for the first quarter, our hourly labor was a little over 100 basis points higher than the year ago period due to higher hourly wages in both the kitchen and dining room, increased training related to our sales building initiatives, and the negative leverage related to the comparable restaurant sales results, which were partially offset by lower incentive compensation. Our operating occupancy cost increased by about 70 basis points to 20.9% from last year's first quarter and this was again due to lower operating leverage related to the Q1 comparable restaurant sales results. Included in operating occupancy cost is approximately $5.2 million of marketing spend, which equates to 2% of sales. Excluding marketing, operating and occupancy cost in the first quarter averaged approximately 20,000 per restaurant operating week, which was consistent with last year's operating and occupancy cost. Our general and administrative expenses of $14.3 million decreased by 40 basis points compared to the same quarter last year to 5.5% of sales. First quarter G&A came in lower than anticipated, primarily due to lower than expected personnel costs and lower equity compensation. Our depreciation and amortization was approximately $16.7 million or 6.5% of sales and averaged about 6,900 per restaurant operating week, which is consistent with our G&A trends. Our preopening expenses were $1.4 million were primarily related the cost of opening three restaurants in the first quarter. Our tax rate for the first quarter was about 28% which was in line with our expected tax rate of 28% to 29% for this year. In terms of capital allocation, we continue to use our strong cash flow from operations to execute our national expansion plan while opportunistically repurchasing shares. Total capital expenditures for the first quarter was approximately $20 million and we continue to expect our gross capital expenditures for fiscal 2017 to be in the range of $80 million to $85 million. This CapEx will cover the construction of at least 10 new restaurants as well as maintenance CapEx and our sales building initiatives, including the aforementioned slow-roasting oven technology and handheld server tablets for all of our restaurants. During the quarter, we allocated approximately $29 million towards the purchase of 797,000 shares of our common stock. And since the authorization of our initial share repurchase program in April of 2014, we have repurchased and retired approximately 8.2 million shares at BJ's stock for approximately $319 million. Additionally, as we announced today, our Board approved the expansion of the share repurchase program by $50 million. As a result, we currently have approximately $80.5 million available under our current authorized share repurchase program. With regard to liquidity, we ended the first quarter with approximately $24 million of cash and $183 million or so of funded debt on our line of credit, which is in effect until November 2021. Our line of credit is for $250 million and provides us the flexibility to continue our national expansion program while returning capital to shareholders through our share repurchase plan. And before we open the call up to questions, let me spend a couple of minutes providing some commentary on our 2017 outlook. All of this commentary is subject to the risks and uncertainties associated with the forward-looking statements as discussed in our filings with the FCC. With respect to sales, March and April are always the toughest month to get on our business due to the shift of Easter holiday and related spring break. However, trends and margin improvement on what we saw in January and early February and this improvement has extended into April. Our comp sales in April are running basically flat inclusive of a negative impact from Easter weekend moving from Q1 of last year to Q2 of this year. In general, Easter weekend is very soft for us. And as a result, we got a little tick out in comp sales in Q1 of this year with a corresponding hit to April as a result of the Easter weekend moving from March last year to April this year. However, excluding the impact from the Easter weekend, our comp sales will be up slightly in the positive 0.5% or so range. While we're pleased with the improved underlying sales trend, we're still in the middle of rolling out most of our sales building initiatives and with the early success that Greg Trojan just reviewed, we remain guarded, but cautiously optimistic on comp sales growth until these initiatives are fully implemented and supported with marketing. Therefore since they haven’t entirely rolled out yet, we will continue to lean toward conservatism and modeling comp sales forecasts for the current quarter. In regards to restaurant operating weeks for the second quarter, I expect approximately 2,490 weeks, marking an approximate 9.5% increase from the 2,276 weeks from last year's Q2. Moving on to the rest of the P&L, we expect to see increased food and labor cost in Q2 related to our sales building initiatives. Specifically for cost of sales, our teams are learning to perfect the cooking of our new meat as well as setting the correct daily inventory levels and we are doing higher levels of the sampling of these menu items for our key members and our guests. As a result, I'm expecting cost of sales to be around 26% or below 26% range for the second quarter. Generally, these items are more protein-centric and therefore have a higher cost of sales percentage, but also have a higher average check, resulting in greater gross profit dollars. We expect over time, as we become efficient with these new menu items, that the higher gross profit dollars will generate operating leverage in both labor and operating and occupancy costs. With regards to labor, I continue to expect about 20 to 30 basis points in training labor related to the rollout of our slow-cook ovens and server handheld as our key members become proficient with both pieces of technology. We look at these as investments costs drive future sales. Unfortunately, the accounting rules do not allow us to match training cost future revenue, so we will continue to have a temporary increase in labor as we get the ovens and server handhelds rolled out. Therefore based on sales trends today, plus the additional training cost for our sales building initiatives, I would expect labor to be around 35% for the second quarter. We are targeting operating occupancy cost to be in the low to mid-20% range and that will include $5.9 million in marketing spend. As Greg Trojan mentioned, we plan to increase our marketing efforts in the second quarter to drive awareness of our sales building initiatives, specifically around the slow roast menu as we gear up for Mother's Day, Graduation, and Father's Day celebration. This margin spend will be higher than last year's $4.4 million, which equated to about 1.8% of sales. Please remember that both labor and operating occupancy cost as a percent of sales is highly correlated to weekly sales averages and comparable restaurant sales growth. Our G&A expenses for the second quarter should be in the $14.8 million to $15 million range as we expect total G&A for fiscal 2017 to now be closer to $60 million. Preopening cost should be approximately $1.8 million for the second quarter based on four planned new restaurant openings plus some preopening costs for restaurants that are expected to open later this year. I'm expecting our tax rate in the second quarter to be in the 28% to 29% range and diluted share should be in the low $22 million range for the quarter, which reflects the return of capital share repurchase activity I reviewed just a few moments ago. As indicated in our Q4 conference call, we expect to take a one-time non-recurring non-cash write-down on our old convection oven and the hardware for our point-of-sale systems as we roll out the handheld server tablets. The majority of these two initiatives will be completed in the second quarter of this year and therefore, I'm estimating that most of these non-cash non-recurring charges will be incurred and this upcoming second quarter. We entered into -- we entered 2017 with a comprehensive set of sales building initiatives to offset the challenging industrywide operating environment that we faced throughout 2016. These initiatives are complement our enterprise-wide focus in our food offerings, productivity, restaurant efficiency, and guest service, which have been fundamental to our expansion and impressive long-term bottom-line growth. Our strong cash flow from operations are enabling these investments and new sales building initiatives and appropriate marketing to drive awareness and success. And though early, we are seeing positive results from these strategies. We've also effectively balanced our capital allocation and strengthen our balance sheet to return to capital to shareholders through our share repurchases. Since the company's first share repurchase authorization was approved in April 2014, we have reduced our outstanding shares by approximately 23% and during the same period, we have funded the opening of 46 new restaurants. In closing, we remain confident that the strength of our concept combined with a well-defined initiatives to drive sales, productivity and efficiency and our balanced approach to new restaurant growth and prudent management of our capital structure is a proven formula for sustained long-term financial growth and the appreciation of shareholder value. That concludes our formal remarks. Operator, please open the line up for questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Brian Bittner from Oppenheimer.
Michael Tamas: Hi, great. Thanks. This is Mike Tamas on for Brian. Just a couple of quick questions. You talk about cadence in the quarter getting better in March and some improving here into April as well. So, just wondered if you think that's more industry-related as the industry has gotten better, if there's you can sort of change your focus a little bit more than you're actually seeing a bottoms up driver here?
Gregory Trojan: It's clearly both. Mike it's -- you look at the same industry set that we do and we're happy to see a lot of just simply weather-related. We're seeing better foundational industry numbers. But as we try to point out in our remarks, we're clearly seeing some traction on these sales building initiatives. Although as we stress it, they're early in their rollouts, but we are seeing positive impacts from what we're doing as well.
Michael Tamas: Got you. Makes sense. And then just on the sales builders you sort of talk about and being unprecedented amount of sales builders. So, just wondering were you able to test all of these in the same units? Is there any operational risk? Because as you roll these out, it sounds like you are going to do good things in the sales line, but just wondering if there's any operational risk as it relates to the in-store execution of them?
Gregory Trojan: Look there are always -- I don't know there's risk in them not working. You're always going to -- there's risk in the overall level of initiatives. But you've been very, very careful. And one thing we've proven over time at BJ's is we can execute operationally and they have been thoroughly tested. I can't say that we've tested all of them in the same restaurants because we want to take reads on the impact of these individual initiatives, so we carefully measure those versus control. And for that reason, we don't combine them. But they do impact different areas of the restaurant, but the most part as well. So, we're very confident around the implementation of each of these, but it's a lot going on in the restaurant.
Michael Tamas: Awesome. Thanks guys.
Gregory Trojan: Welcome.
Operator: For our next question we'll go to Matthew DiFrisco with Guggenheim Securities.
Matthew Kirschner: Thanks for the question. This is Matt Kirschner on for Matt. I just had a question -- two questions. First, related development. You mentioned how you pulled back this year doing 10 new store openings; focus on the sales building initiatives. But I wondered given the improving trends if it's possible to reaccelerate in 2017 or how the pipeline looked in 2018?
Gregory Trojan: I'd say it's too early in the year; we don't make decisions until our planning cycle later in the year. But Greg is here in the room is working with his team and looking at and still pursuing deals in a way that gives us the flexibility to increase the level of development next year. We have the desire to do that.
Matthew Kirschner: Okay. And just a few questions around the test of delivery. Would you be willing to share this maybe the number of stores that are involved? If you are considering third-party options as well as your own internal delivery network?
Gregory Levin: Matt, this is Greg Levin. So, as far as where we are on, it's a small amount of restaurants that we are testing. As much as it sounds like it should be fairly simple if used some of the third parties which we obviously said in our call that we are using some third-party. You think you can snap in and go. But you want to make sure you staff sauce correctly, want to make sure you put in take-out packaging correctly. And make sure you -- for a like a better term here, checking off on all the -- crossing on the T's and dotting all the I's. So, we're taking that a little bit slow from that perspective. In regards to the way we're doing it, it is a combination other than just mentioned some of the third-parties delivery companies that people are familiar with. We're also using in and we talked about this before kind of an aggregator, where people are going through our internal mobile app or our website, placing orders out there that got to kind of an aggregator that looks at for lack of better term delivery type company, whether it's an lift, Uber, somebody else to come in and help deliver that food. And then frankly, we do have a couple of restaurants that always had delivery in those restaurant and we're not really looking to make a change there, but there has not been much discussion about adding our own individual delivery drivers as of today. So, right now, primarily using third-party drivers.
Matthew Kirschner: Understood. And then just if you can share this, obviously, you guys are well known and regarded for your pizza, do you have -- is that like a high mix item that's being delivered? Or is there another item that's selling well?
Gregory Trojan: Actually it's skewed more on the other areas of our menu obviously, pizza is part of that. But it doesn't surprise me, given the -- one of the real advantages I think we have to take advantage of the off-premise opportunity is the breadth of our menu. So, obviously, a lot of pizza options out there, traditionally, so people are taking advantage I think of new opportunities to go elsewhere in our menu.
Matthew Kirschner: Great. Thanks for that.
Operator: We'll go now to Jeff Farmer with Wells Fargo.
Jeff Farmer: Thank you. You touched on it, but what role did the introduction of the Brewhouse Specials menu have on that improve same-store sales performance you saw in the back half of the quarter? Just trying to figure out if there is more than just improved some weather for you guys driving that better number?
Gregory Levin: Jeff, this is Greg Levin. I don't know if we have that specifically identified as meaning that one specific area. I would tend to tell you though looking at the data, our $3 Pizookie are probably one of the biggest hits out there. You can think about that incremental add on. And gives us a pretty nice solid Tuesdays, maybe more so some of the other items say more incremental to the check per se. I would tell you anecdotally talking to our restaurant managers, they love these items, they were selling more of them each day. And the guests are really talking about them from that perspective, but they actually have broken down and say this is worth X% in the comp sales improvement. We just unfortunately don't have it at that type of data.
Jeff Farmer: And then unrelated, but from a menu complexity standpoint. I think it goes back to your Analyst Day in 2014, I think you guys peaked out at something like 180 items on the menu, brought it down to 150. There's been a lot of new food news a lot going on. So, any concern in terms of the skew proliferation or operational complexity, anything to be worried about there, moving forward?
Gregory Trojan: Jeff, this is Greg. We started at about 184 when we initiated the whole project program. And we are now probably in the mid-140s. So still a very significant reduction. And we're also making sure even with these new items and I may have mentioned these in my comments, but it's worth reinforcing that the slow roasted items are less complex than the average BJ's items. I think it's important to note. So, although they represent new SKUs, not all SKUs are created equal. And our kitchen really love selling them, but I'm saying these items show up on the kitchen screen because they're reasonably straightforward and such great quality. They take a lot of pride in them. So, but we are always cautious about trade off and we are taking items as we add. But we are net adding with this menu launch by a little.
Jeff Farmer: That's helpful news. Last follow-up on Greg Levin, did you talk about the mix traffic and pricing in Q1? And also the interest expense expectations for the full year 2017?
Gregory Levin: Yes. Let me take the interest expense, because that was probably easier, but it came in around $900,000. And I would probably expect to probably be around that amount for the next several quarters. In that regard it gets you to $3.6 million just before $9 million, that's probably a reasonable number to think about there. In regards to the quarter, traffic was down about 4%, really heavy on those first six weeks or so I would say of the quarter and started to moderate in that regard. I think we had pricing somewhere in that 3% range or so. Our average check only grew about 2.5%. So, discounting I talked about kind of impacted a little bit cost of sales in there. So kind of the breakdown that makes sense to you.
Jeff Farmer: Okay. Thank you.
Gregory Levin: You're welcome.
Operator: We'll go now to John Glass with Morgan Stanley.
Unidentified Analyst: This is actually Bryan on for John. Just a quick question around sales building initiatives as a kind of roll those through, with the higher cost meet base discounting lower end. How should we think about in margin cost higher should we think margin neutral in the restaurant line? Margin accretive?
Gregory Levin: Yes, I think -- this is Greg Levin. Bryan it’s a great question and I do tend to think that's our cost of sales are going to be in that upper range. I talk about it being the 26% range or so here in Q2, some of that inefficiencies. I think as they work through some of that I would expect cost of sales to probably be around that range or maybe upper 25%. However, as Greg Trojan mentioned, when we were selling at $26.95 Prime rib bundle, even at 50% cost of sales seasonality for example, makes it easier to understand even our cost sales aren’t there. You're bringing $13 to $14 of gross profit dollars. Those gross profit dollars should leverage your overall labor in operating occupancy costs and we certainly think about restaurant level margin they should frankly be neutral if not positive going forward. Little bit offset maybe the Brewhouse Special, but something like a $3 Pizookie is incremental to a purchase. And we're seeing some of that same type of add-ons purchases to our incident rate to some of the other items kind of offset some of the discounting back there. So, our goal as we put this through is to really be restaurant level cash flow neutral and probably little bit increase in cost sales in your offset in your labor and operating occupancy costs.
Unidentified Analyst: Perfect, okay. Really helpful. Just one -- just following-up on delivery. When you look at what you are doing internally versus going to third-party, can you just comment a little bit about profitability between the two? What are you seeing in terms of take rates just relative to doing it in-house?
Gregory Trojan: It's too early really to give you any very specific guidance there, but I think it's important and again, this is something that I mentioned earlier in my remarks but I'm not sure how understandable it was. We're looking at this being a mix of both pure third party model which you see a lot of right now. And given our excellent application, online ordering capability, and our loyalty program, we know we have the ability to drive a lot of this business internally as well, right. And so part of what we're doing in taking our time with our variety of partners is to make sure both live so that we maximize incrementally this channel. And we see we want the third-parties to be more new users and highly incremental and we're willing to pay more from an overall costs perspective for that incrementality and we want to be more margin efficient by through the business that we were able to generate loyalty program and already we're doing as a concept. So, that's what we're balancing right now, but obviously, our margins will be higher or successful in balancing that way with our internal business versus the third-party.
Unidentified Analyst: Perfect. Thanks.
Operator: For our next question we'll go to Sam Beres with Robert W. Baird & Co.
Sam Beres: Hi, good afternoon. Thanks for taking the questions. Maybe just one clarification. I think Greg Trojan you mentioned something about thinking you can drive positive comps in the near future and obviously, reported comps flat despite the Easter shift negative here in Q2. So, it's been that suggesting that you guys are expecting positive comps here in Q2?
Gregory Levin: I think as -- this is Greg Levin I think those initiatives roll out, Sam, the idea of those initiatives like any sales driving initiatives are providing positive comp sales. So, we think that with the success of those initiatives and the things we're doing that there's that opportunity that should be driving positive comp sales for us.
Gregory Trojan: Sorry there. We don't have a crystal ball what the rest of the world is going to be doing here, but that's the goal.
Sam Beres: That's helpful. Thanks. And I guess on the traffic side obviously, key focus point is getting improve traffic and I guess, what are the key factors that may be get you back more towards of flattish traffic trajectory potentially as you move forward? I guess, is that a realistic assumption moving throughout -- or towards the back half of the year against easier comparisons. And I mean to improve the traffic beyond the initiatives; I mean do we need to see a stronger underlying improvement in the industry demand environment to maybe get that flattish traffic level potentially.
Gregory Levin: Sam, this is Greg Levin. I think you can hit up on that a little bit at the end there. We do need to see some improvements I think in the macro environment. And the challenges are continuing macro environment is really just the abundance of restaurants that continue to get developed out there. All of the data that I'm saying really suggest that consumers are of going out and they're going out eating, but is that flat rate. And when you going out, so you're not increasing your amount of time you're going out, but you're going out and then unfortunately or fortunately, whichever way you want to look at it, there is an amount of new restaurants coming on board, so you're just splitting the pie up to more and more pieces from that perspective. I do think though when you look at the BJ's concepts that not only will our initiatives make us have some unique menu items that can drive guest traffic for special occasions from that standpoint. I think that helps in that regard. But on top of that, looking at some of our numbers and where we see some improvements, we are seeing Texas, which is an area [Indiscernible] for us and frankly it's probably may just have I would say negative traffic more so than looking at some of the other markets seem to start to come back a little bit. It's still up and down. It's not where we want it to be. But I think when I look at our business; I think Texas is probably key to seeing improving traffic on an overall perspective.
Gregory Trojan: I mean one thing I'd add there is the silver lining of the difficulty of the environment we're in, both on the sales and then you look at all the cost pressure labor side of industry on perspective is we are starting to see some of the weaker players actually reduce the number of [Indiscernible] out there, both concept level but even at the number of units you see being closed by some concepts out there. So, that is helpful. That's going to be -- start to reverse some of the overexpansion and number of seat issues that we've seen particularly in markets like Texas.
Sam Beres: Great. Thanks guys.
Operator: We'll take our next question from Will Slabaugh with Stephens.
Will Slabaugh: Yes, thanks guys. Curious first on average ticket and how we should think about that going forward. I know you mentioned that was up 2.5% with a 3% pricing this quarter. And I'm curious as we look the rest of the year and we have the full roll out happening the slow roasted items complement expansion, Brewhouse menu which sound like that was a little bit earlier. How do we think about that progression of the take-in, should it be below price going forward?
Gregory Trojan: So, I think a couple of things there. Some of the items that we're putting on are -- as Greg Trojan mentioned in the formal remarks they're to help drive average check. So, you would hope that's on top of your pricing would actually see positive mix. The [Indiscernible] offset with that on the Brewhouse Specials. And I think when we look at our business going forward, we're expecting mix to more or less to see flat to slightly positive. The offset there and the offset over the last couple of years is the promotional environment. Do we get a little bit more promotional or not in regards to the environment out there and that would adjust down your mix a little bit. And that this a little bit in Q1, that's why our prior average check was as much as may be our pricing. But I think ultimately it's going to be kind of flattish maybe slightly positive.
Gregory Trojan: Will, compared to both last year, when you look at that, I think our overall guest check increase was about 1.4% in that neighborhood, right? And we had similar levels of pricing, right? So when we talk about being in 2.5% that's obviously helpful, right? And we'd rather take, see offset some of the inflationary pressure positive mix versus pure pricing. So, it should be a help in comparison to what we saw overall last year by at least what we've seen in the quarter maybe a little bit more going forward.
Will Slabaugh: Got it. That's helpful.
Gregory Trojan: Dynamic there, I'm sorry just to give you a reason if you remember our overall increase in level of discounting last year was a lot more significant than we are seeing this year or plan to this year, right? So we took quite a step up a year ago overall in our incidence of discounting went from about, I don't know, 6% to a little over 9% that's a big increase obviously. Still below where the industry is, but impact on check that was pretty significant. We're not looking at that level of step function increase this year unlike we were last year. So, we'll see less degradation from a check perspective. We could see some little bit of an increase there, but it's not going to be anything like last year as we see things now.
Will Slabaugh: Make sense. And I want to follow-up on the comment you made around handhelds. Can you talk a little bit more about that rollout? And if I missed the timeline there I apologize. And you did mention something about better incident rates with the handheld. So, I'm curious what were those incident, is it Pizookie, is it drinks, appetizers, et cetera, kind of curious what is being driven by the handheld there and you mentioned efficiency gain as well. Any other color will be able to be helpful.
Gregory Trojan: Sure. We're on track to have all of our restaurants are handheld enabled by mid-August, mid-summer or so and we're well on track towards perhaps. Our incidence rates are being driven by -- I think the biggest is beverages. And then we're seeing in all the categories you mentioned. We're seeing it in add-on, appetizers, and desserts. But obviously the biggest impact in beverages because one of the main benefits I mentioned and we are seeing is this time to order and getting -- therefore we're getting drinks in particular to the table quite a bit more quickly than we were -- than we were able to in our old order-taking system. So, that's generating more frequency on the beverages side. Plus all the drinks we're getting kind of less incidence of our service we're getting to bring entering because whether [Indiscernible] in order to the table [Indiscernible].
Will Slabaugh: Got it. And one last on Texas. If I could do follow-up on comments that you made earlier. Just to make sure I was clear, that Texas is still lagging a little bit from your broader system, but it sounds like you're somewhat pleased with that progression you see recently. Is that more of a 1Q or maybe late 1Q into 2Q phenomenon?
Gregory Trojan: Actually we saw Texas -- last year we made big strides with Texas versus where we were before. So again, we're not doing backflips, but relative to the trend particularly in the back half of the year. We took a number of steps. A lot of -- some of them are around these franchise nights that we began in Texas and happy hour changes that were successful in Texas gave us that conviction to roll them out system-wide. So, we've seen this is not a one quarter -- while Texas is doing better. It's been slow, more steady improvement which has been good to see. Well, let me just also backtracked I can follow-up the also have a question on the efficiency of handheld, so I want to just quickly mentioned. We're not rolling out handhelds in our restaurants to save labor unlike some folks out there. We look at this as sales building and guest service opportunity not a labor reduction opportunity. So, if you heard us talk about the efficiency, it's more around delivering better service. But our goal is if we can remain labor neutral because we are changing our sequence of service here to actually speed things up. It's not just a matter of having these tablets -- you can just use a tablet and increase table station and not speed up service in my mind or increase quality. We're not taking that route we want to build sales through this technology. So, I thought that was important to mention.
Will Slabaugh: Understood. Thanks Greg.
Operator: We'll go now to Nick Setyan with Wedbush Securities.
Nick Setyan: Thank you. So, just going back to the delivery. Would you be willing to kind of tell us what percentage of sales in the store that you're testing it is and what that average check look like relative to your normal average check what the cost look -- what there are publicly disclosed information about 20% to 25% of the transaction side, is that kind of the right way to think about it?
Gregory Levin: Nick, honestly today, we don't have much to disclose at this point, it's being tested, its working through more of our online apps. We haven't put much marketing behind it. So, we haven't necessarily felt compelled yet to talk about yet where we are in regards to where we think it can go this year in that standpoint. We're really honing to actually hone-in with the right radius, what is different delivery fees, et cetera from that standpoint. So, it's just too early to kind of give an update as to where we see growing our business. We do know and I'm sure you've heard everybody thinks this is a big opportunity. We know for BJ's specifically that sale in 5% of our business is off-premise. And even without the roll out third-party delivery companies within BJ's, most casual dining chains are closer to 10%. So, I think there's that opportunity there and opportunity to get above that. But we're so far at the beginning that there's really nothing that can actually we can provide you that would make a difference in our business today to talk about.
Nick Setyan: In terms of the timing of the roll out I mean you guys said it's going to be later this year. So, should we think about it more as like late Q4 type of a rollout?
Gregory Levin: Probably more of a Q3 rollout. We've got some more testing coming out here in Q2. Again this is going to be a handful of restaurant. And it's a funny thing about everybody from the analysts side wants to just think about pure incremental sales to come through from the margins from that standpoint. But we've learned a little bit of testing is it that the staff point, put labor on there. So, are you driving the right amount of sales to cover that labor as we just mentioned. You got to make sure you got some of the right take-out packaging that wants to come through here and other things. So, another phase of testing is going to be done in the next 60 days. Give us more to talk about probably at the Q2 conference call in July, when probably by that time we'll have more time. But much like we've talked about with the slow-roasting technology or even the handheld, we want to do this right. And we want to make sure that our restaurants are taking care of our guests. And as a result, we're not going to rush to do it, to get it out there. We're going to doing the right way at the right pace that serves our guest and serves what we have considered gold standard to our guests.
Gregory Trojan: Quick to add the good news is the testing which have been operationally focused as Greg mentioned is going very well. I mean we've had big head start with our own app development and the ability to program and have these orders talk to our kitchen delivery system and our front house system. So all of that, for some the hard part. We're very satisfied and pleased with. As Greg mentioned, we just want to make sure we get the guest experience piece of this down right. And then structurally we're set up for hybrid model I described earlier between our own orders versus the third-party orders working well together with the right partnership. So, we're obviously excited about it. Going last, I've mentioned, not all about delivery. There's also an opportunity clearly on takeout, the big part of off-premise and a lot of -- not just take-out packaging, but we've been working hard on making our takeout ordering and menu variety more compelling for our takeout and easier to understand from a takeout perspective. And we'll be rolling that -- those elements and products out more like midyear and then later than that. And we think there's real opportunity in the near-term to drive just traditional take-out. And we do have the ability through our app where people order ahead on the app and stay in their cars and have curbside delivery and never have to get out of their vehicle as well that's are already programmed in our app capabilities. So, just were not traditional take-out.
Nick Setyan: Thank you. And just on the handheld, is that increasing table turn as well? Or is it just the incident rates that you highlighted?
Gregory Levin: With time to order improving, we would generally be able to shorten up the duration, the guest duration and would kind of be a goal down the road from that standpoint, things that we'll continue to monitor.
Nick Setyan: Is there a component of pay at the table as well?
Gregory Trojan: Not yet. That's part of the -- that will be part of thinking, obviously. But it’s the initial roll out.
Gregory Levin: Well, there's a couple of things there so the current set up is you can actually -- the server can actually swipe the card and pay it right there. They'll have to send it to a fixed printer. Our goal is later this year to get that [EMV] enabled waiting on, that's one of the things that we're waiting. And when it's in EMV enabled, we will actually build a device you'll be able to actually put the tip on the device at that point and sign it and complete the full handheld side of it. Right now it's kind of a hybrid approach.
Nick Setyan: Got it. Thank you very much.
Gregory Levin: You're welcome.
Operator: For our final questions, we'll go to Joshua Long with Piper Jaffray.
Joshua Long: Great. Thank you for taking my question. Greg wanted to circle back to that gap you're talking about between average weekly sales and same-store sales, I understand that was largely driven by calendar shifts you had, would you -- are you expecting for that to go -- kind of evolve over the course of the year. Guessing that will narrow back down to more a normalized range, but is that -- others sales driving initiatives or other items you had built into guidance materially moved that one way or the other we should be aware of?
Gregory Levin: No, I mean the sales driving initiatives, technically, would be equal across all restaurants, new and old from that standpoint. So, it won't necessarily change your average weekly sales differentiator from new to existing restaurant. I would expect that as we go into the other quarters and your calendar normalizes, that we won't necessarily see, in this case, I think we were negative 1.3 and our average weekly sales if you do the math actually down 3.3 and that's approximately 3. So, you had kind of a 200 basis points spread there. I would tend to think that that would start to normalize back to 100 to 150 that we've seen over the last couple of years.
Joshua Long: Got it, okay. Thank you for that. And then in terms of the premiere rewards, loyalty mobile apps side of the business, I wanted to see if you get update see how those things initiatives are progressing and seems like would fit in nicely with some of the new technology that you're rolling out. But just curious where we're sitting up there in terms of guest usage or any other metrics that you'd be willing to share.
Gregory Trojan: We don't have specific metrics. But we continue to be pleased about the progression. And as we talked about before, we have in test some [Indiscernible] refresh around the program that we think will make it even more appealing. And even though we're seeing good general, fundamental momentum, we're rounding into year five of the loyalty program. And in the year four or five, the incrementality research would suggest, could use those programs need a refresher, if you will and we think there's some incrementality from doing that. So, we're testing a reiteration of that or if that goes as planned and we would roll out later this year, probably in beginning of Q4 what we're thinking now. But there's some testing between now and then. So, that's a general overview. Specifically, you're right on that, there's more to do and some real upside integrating that loyalty experience, more stuff with our app and our online ordering for instance. So, we think we have some very interesting capabilities around the corner in regards to loyalty and that becoming a more seamless experience with online and app.
Joshua Long: Great. Thank you.
Gregory Trojan: Welcome.
Operator: That concludes today's question-and-answer session and also brings to an end to today's conference. Thank you for your participation. You may now disconnect.